Operator: Good afternoon, ladies and gentlemen. Welcome to Tucows Second Quarter 2013 Conference Call. Earlier this afternoon Tucows issued a news release reporting its financial results for the second quarter. That news release and the financial statements are available on the Company’s website at tucowsinc.com under the investors heading. Please note that today’s call is being broadcast live over the Internet and will be archived for replay both by telephone and via the Internet beginning approximately 1 hour following the completion of this call. Details on how to access the replays are available in today’s news release as well as Tucows’ website. Before we begin let me remind you that matters the company will be discussing include forward looking statements and as such are subject to risks and uncertainties that could cause the actual results to differ materially. These risk factors are described in detail in the Company’s documents filed with the SEC. Specifically, the most recent reports on Form 10-K and Form 10-Q. The company urges you to read its security filings for a full description of the risk factors applicable for its business. I would now like to turn the call over to Tucows’ President and Chief Executive Officer, Mr. Elliot Noss. Please go ahead Mr. Noss.
Elliott Noss: Thank you, operator. And thanks everyone for joining us today. With me is Mike Cooperman, our Chief Financial Officer. As for our usual format, I’ll begin today’s call with an overview of the financial and operational highlights for the quarter. Mike will then review our financial results for the quarter in detail. Then I will return with some closing thoughts before opening the calls to questions. Q2 was another solid quarter for Tucows, evidence once again of the consistency and reliability of our business, long side our ability to deliver growth. Our wholesale and portfolio groups continue to perform well. Well Hover delivered yet another quarter of outstanding growth up more than 25%. And team continued its rocket ride with customer growth accelerating through the end of the quarter and continuing into Q3. Total revenue for the quarter grew to $31.2 million up 11% from the second quarter of last year and marking our thirteenth quarter in a row of record revenue. Looking at the individual components of our business domain services, the largest component of our wholesale group continues to perform well, although growth here continues to be dampened, but the softness in transaction volumes at the industry level; as the market takes a breather, ahead of the introduction of new gTLDs, as well as the maturation of the North American and European markets. We continue to see encouraging activities in developing world and Asia is particular. Total transactions were down 2% from the same period last year to $2.3 million. Although still at very healthy, more than 9% compared to the second quarter two years ago. New transactions were down 19% from Q2 of last year. On a more normalized basis, the main transactions for Q2 of this year were down 5% from Q2 of last year. Gross margin was impacted by a slowdown in registry rebates, which are down in remarkably in the last year as we have discussed previously. Renewal registrations were up by 5% versus last year and we also saw another quarter of sequential growth. Total domains under management at the end of the quarter grew to $14.2, up 26% compared to Q2 of last year. As mentioned, we continue to see the success of our focus under developing world with a number of competitive wins during the quarter. Most noteworthy is the selection of Tucows open SRS as the back end domain registration platform for the dot-br and dot-com domain of a leading telecom provider in Brazil. Our new customer is owned by a larger international telecom with whom we have a decade long relationship and who also holds telecoms in Argentina, Columbia, and other Latin American countries. Overall the domain services business continues to perform well. In fact, if you look at the two year comparables for this business factoring out an outsized 2012 growth looks quite good. The first half of 2013 is just a little slower than expected on the year-over-year comps. And I’ll note that we expect Q3 and Q4 to be better in the year-over-year comparisons in Q1 and Q2. Our portfolio business, YummyNames had another quarter of solid performance, although we did see the impact of a number of transient factors on the results. We continue to experience some of the weakness in sales of higher priced names or gems as we call them that I discussed on our last call early in the quarter. That began to turn around in May and by the end of the quarter; sales of gems will back up to where they had been previously. So we feel pretty good about this part of the Yummy business going forward. The second quarter also saw a transition in leadership in YummyNames. With Bill Sweetman who ran that division very ably for the last six years going out on the zone on the buy side. We’re grateful to Bill for his contribution to building the business and wish him the best of luck in his new venture. We promoted Steve Barnes internally who formally took over July 1 and we’re very excited about Steve taking on the role. As with any transition in leadership, there was some impact on the business. We also saw the two year relationship with our previous Expiry Stream partner come to an end during the quarter and the leadership transition, which made it more challenging to put a new partner in place right away. We do expect a new partner on board shortly and are pleased with how the negotiations are proceeding. Our retail group had another quarter of outsized growth. Hover delivered exceptional performance in Q2, growing revenue 22% year-over-year and 4% sequentially. Hover also had another strong quarter in terms of customer growth with increases of 16% year-over-year and 4% over Q1 and I note the Q1 is typically the strongest quarter over the year. Our differentiated value of proposition continues to drive both retention and referrals with Hover. New transactions which include new domains, transfers and e-mail account grew 35% over the same quarter of last year. Renewals grew 14% year-over-year and renewal rates help steady at the lofty level that have maintained for the last year and half or so. It was also another great quarter in terms of transfer in both in terms of absolute numbers which were again up year-over-year and the ratio transfer in and transfers out which would almost 6.5% to 1% remains extremely high. The other component of retail – continues to exceed our expectations, we had our best quarter to-date in terms of customer additions more than 9,000 accounts and 16,000 devices in the quarter up significantly from the 6,300 accounts and 11,000 devices we added in Q1. We probably does pass 25,000 accounts at almost 40,000 devices at the end of June. The number of customers grew over 55% in the quarter. And we added 9,000 customers versus 6,300 the previous quarter, again ramping up. We also added almost 1.8 devices per account during the quarter. Well we ended last quarter averaging 1.6% across our base. Clearly customers are recognizing the relative value of how a multiple devices attached to a single account the other spouses, children, moms and dad or a small businesses multiple employees. And more devices per account mean more gross dollars per account which is one of the most important metrics in our business. Importantly with Ting, as we get deeper into the on boarding process and deeper into smartphone usage, we are continuing to improve the customer experience. Every week, we are identifying new opportunities to refine and improve service and the processes. Last quarter, I talked about how instrumental are bring you on device program, which we launched last December was to drive a customer growth. Over the course of this year, we’ve seen a fairly significant shift, when customers buying new devices from us, customers either bring their own devices or buying devices in the secondary market. By the end of Q2, almost 60% of new customers were bringing their own device. It’s a tremendous positive for us because it significantly reduces inventory and fulfillment process. It means our customers have access to a much broader range of devices. Most importantly, it means that we get to take advantage of a whole in the market, the small paradigm of phone subsidies that persists in the U.S., which is the only market besides Canada that remains objective to the phone subsidy. Whether they’re buying refurbished devices from us or buying in the secondary market on eBay or from our partner Deloitte or somewhere else. Our customers are able to take advantage in great values, because that really is effectively no secondary market for AT&T of horizon customer. You’re an AT&T of horizon customer, you will just take next subsidize phone and locked into other another contract. As a result, people are turning over their phones more quickly and selling the phones for less than they might otherwise be worth, all to the advantage of the same company. The reality is the vast majority of the market simply does not need the latest fully loaded Galaxy S4. If you want it, we will sell it to you. I carry a high-end Samsung Note II myself, but it’s not the choice for most of our customers. This addiction to the phone subsidies combined with the benefits of the secondary market of the Moore’s law, very short obsolesced cycle, allows our customers to have access to a fantastic array of devices at tremendous value. We couldn’t be happier with performance obtained to date. Customer growth continues to accelerate; referrals are growing in both absolute terms and as a percentage of net ads. The number of devices per account is increasing, gross margin dollars are very healthy and our customer acquisition costs remain well below the $100 mark. Most importantly, our customers are saving significant money and that’s what Ting is all about. Moving to another topic, I would like to provide an update on the new gTLD program but our participation in the program and the program in general. Ands it’s a good new, good new story. In terms of our participation, you’ll recall that we originally have four applications, with two of those supplications, dot online and dot group. We had entered into arrangements whereby we have turned those applications into minority stakes in four applications, so with additions to dot online and dot group we have added minority stakes in dot tech and dot store. We’ll note that each of these applications is contested and while we certainly have hopes for all the four. They may or may not result in awards of gTLD. With the other two applications dot media and dot marketing, we have withdrawn those in the context of a series of private arrangements. While the returns of these arrangements are subject to confidentiality, I can’t disclose that the outcome is that we received a substantial sum that we expect to show up in the third quarter as YummyNames revenue. It’s also now starting to appear that we will start to see some new strings emerge in the fourth quarter of this year. It’s still not certain, but it is definitely up more likely than it’s been before. As you know if you listen to these calls, I’ve typically moved back my guidance around gTLD strength. Here I think we are looking a little more encouraging. Last quarter we initiated guidance around total company adjusted EBITDA for 2013 and projected a break-even point for the Ting business specifically. We said that our adjusted EBITDA for the domains business for 2013 will be approximately $10 million or so, with an expected year-over-year growth of approximately 5% in the domains business essentially offsetting an increased investment in Ting. With two quarters in the books and the successful dealmaking and our new gTLD applications. It now appears that we will be closer to an $11 million. We also said we expect Ting to cross over the break-even threshold from consuming cash to contributing cash in the fourth quarter of this year. And we continue on pace to do that. Overall the second quarter was another solid quarter for Tucows notwithstanding the impact of industry softness on the wholesale of portfolio domains businesses, these businesses are doing well fundamentally and we are pleased with the results of the first half of the year. Hover saw another quarter of double-digit growth, and shows no signs of slowing down, and continues to exceed our expectations at almost everywhere. All of this positions the business for continuing consistency and reliability with meaningful upside growth opportunity. And we’ve now like to turn the call over to Mike to review of our financial results for the quarter in a greater detail, Mike?
Michael Cooperman: Thanks, Elliot. Net revenue for the second quarter of 2013 increased by $3 million or 11% to a record $31.2 million from $28.2 million for the second quarter of 2012. As Elliot noted this marked our 13th consecutive quarter of record revenue. Cost of revenues before network costs were $23 million, up $2.9 million or 14% and $20.1 million for the second quarter of last year, with the increased primary resulting from our selling Ting devices at or slightly below cost, and the increase in Ting services sale. Gross margin before network costs increased by $133,000 or 2% to $8.2 million from $8 million for the second quarter of last year. Primarily as a result of improving contributions from retail services, offsetting lower contributions from the domain name and portfolio gross margins which are explained in the moment. As a percentage of net revenue, gross margin before network cost decreased to 26% from 29%. I will now walk through the gross margin performance in each of our three service categories, wholesale, retail, and portfolio. Gross margin for wholesale services, which includes domains and other value added services, increased by $354,000 or 6% to the $5.4 million from $5.7 million for the second quarter of last year. The primary reasons for this decrease was a decline in gross margin contribution from wholesale domain services, which decreased by $341,000 or 9% to $3.3 million from $3.7 million when compared to the second quarter of last year. As we highlighted in the last conference call, the primary reasons for this decrease is that certain marketing initiatives undertaking by both those resellers and vendors in 2012 have either been significant detail back or cancel in 2013. In addition, gross margin has been impacted by certain of our customers acquiring the own registrar of presentation and therefore no longer registry new domains on our platform. As a percentage of revenue gross margins from wholesale services was 22% compared with 24% for the second quarter of last year. Gross margin for retail services, which includes contributions of Hover denting increased $1 million or 108% to $2 million from $942,000 for Q2 of last year. The increase is a result of two factors. The Ting now having growing to over 25,000 exit customers, you guys have gone to contribute more significantly to our gross margin performance and during the second quarter contributed $800,000 of gross margin. And second Hover continues to have great success in attracting new customers and increasing the sales to existing customers. As a percentage of revenue, gross margin for retail services was 34% compared to 41% for the same quarter of last year. This decrease primarily results from the impact of continued investments in customer acquisition has on gross margin. As we have mentioned in the past, we sale Ting at or slightly below costs. In addition I will remind you that our Ting services generate a low gross margin and Hover in the low-to-mid 40s range compared with the high 50s for Hover. Gross margin from our portfolio revenue stream increased by $533,000 or 39% to $849,000 from $1.4 million in the second quarter of last year. The primary reason for the decrease that we have gained to lower sales of the big ticket domain names this quarter, which accounted for 340 of the decrease. In addition, we saw decline in gross margin of $95,000 from our revenue from our ad supported size as certain of our vendors have elected not to repeat marketing development programs that they undertook during fiscal 2012. Well parked pages advertising declined by $84,000 as result of the impact of domain name sales have on our advertising revenue. On a percentage basis gross margin from our portfolio was 79% compared with 86% from the second quarter of last year. Turning to costs, network expenses for the second quarter of this year were $1.5 million up $52,000 or 4% from $1.4 million for the same period last year. This result continues to reflect the improved efficiency we have achieved in operating and managing our co-location facilities. These efficiencies have also enabled us to decrease our capital spend on network equipment. Total operating expenses for the second quarter were $5.8 million, up $246,000 or 4% from $5.6 million for the same quarter of last year. This increase is primarily result of our investing in incremental $1.1 million when compared to the second quarter of last year in workforce, marketing and other costs related to growing and supporting Ting. As a reminder although our customer acquisition and customer service cost are incredibly efficient relative to our competitors they are significant given the size of the customer addition relative to the base. These higher costs are a function of customer growth and as a natural consequence of the success of Ting. Over time, as the size of the additions relative to the base goes down, these costs will become less significant. The higher Ting related costs were partially offset by recognizing a 2010 Ontario Interactive Digital Media Tax Credit of $460,000 from the Ontario government. This step was taken during the quarter as we received correspondence from the authorities, developed claim have been improved and set thus far. In addition, we incurred a smaller loss on foreign exchange in the second quarter of this year, $147,000 compared with $384,000 in the second quarter of 2012. As a percentage of revenue, total operating expenses decreased to 19% from 20% for the second quarter of last year. Net income for the second quarter of 2013 was $588,000 or $0.01 per share, compared with $696,000 or $0.02 per share for Q2 of last year. Again net income for 2Q of this year was impacted by the incremental investment of $1.1 million we made for the acquisition and support of customers. Cash and cash equivalents at the end of the second quarter of 2013 was $6.5 million compared with $4.3 million at the end of the first quarter of 2013 and $4.5 million from the end of the second quarter of 2012. The increase in cash and cash equivalents compared to the first quarter of 2013 is primarily the result of generating $3 million in cash flow from operations and $280,000 from the exercise of stock options. Cash flow from operations for the second quarter of 2013 was positively impacted by $1.6 million in changes in working capital, which primarily the result from the timing of payments in the normal course of business. During the quarter, we reduced our loan under our credit facility by $600,000 and invested $470,000 in equipment purchases. Deferred revenue at the end of the second quarter of 2013 was $73 million, a decrease of 2% from $74.5 million at the end of the second quarter of 2012 and an increase of 1% from $72.4 million at the end of the first quarter of 2013. This largely reflects the impact of customers who have acquired the only accreditation no longer registering new domains on our platform. To conclude, our financial results for the second quarter once again demonstrated our ability, for the prudent financial management, continue to deliver solid financial performance while in business significantly in the growing Ting opportunity. While our investment ensure the success the Ting will tempting our results in the short-term, the strong earnings in Ting initially points to it providing a meaningful contribution to our performance beginning next year, all of which positioned us well to continue to deliver shareholder value going forward. And with that, I would now to like turn the call back to Elliot.
Elliot Noss: Thanks Mike. In closing I’d like to focus on the expense side of this quarter. As you’ve heard us talk about for the last number of quarters, is main registration in hosting industries are maturing now becoming more last market. We’ve reject in those that they’re commoditizing. They are not commodities. They are very, very high volume. They are relatively low margin that they are differentiable to a great customer experience as proven by Hover. In addition, the inputs to these industries primarily processors, bandwidth and storage are consistently coming down in price has beneficiaries of Moore’s law. When you combine a maturing industry, in other words one that has been around for a significant period of time and the cost characteristics or much of the inputs, the result is the need for operational efficiency. Operational efficiency is absolutely critical to remaining profitable in growing in these industries. If you look at our operating expenses, over the past three years, four years in particular, you will see a remarkable level of operating efficiencies. That operational efficiency has often be mostly hitting by the incredible breakout growth obtain and by now four year in a row plus 20% growth of Hover. Seeing in particular has allowed us to very elegantly redirect resources from older more mature businesses into this fast growing opportunity. In fact in the last few years in the domains business outside of those high growth areas, we are processing roughly 50% more transactions. We’re actually decreasing comparable operating expenses by 10%, which is quite remarkable. What’s clear is that we’ve been able to process more transactions, drive more revenue and produce more gross margin dollars every year with fewer resources. And that operating efficiency is key to managing free cash flow, which of course is central to being able to consistently return value to shareholders. While we have their stock purchases to announce this quarter, our Normal Course Issuer Bid program remains in place has does our belief in returning capital to shareholders. And with that, I’d like to open the call to questions, operator?
Operator: (Operator Instructions) Your first question is from the line of Hubert Mak with Cormark. Your line is open.
Hubert Mak – Cormark Securities: Hi guys.
Elliot Noss: Hi, Hubert.
Hubert Mak – Cormark Securities: Hi. First question on (inaudible) you guys added a pretty good number here 9,000 and can you just sort of talk to the seasonality and whether you expect this surpass to kind of mentioned the asset basis is going to continue to increase is that still outlook, can you just kind of give a color on that?
Elliot Noss: Sure. So we’re now a bit into Q3. I’ve also had a recent trip down to Kansas City to the spread mothership where always of asking people of the seasonality because our growth tends to mask it and it seems at the beginning of July is kind of the slowest part of the year, the first couple of weeks. And we did see a little bit of hinds of a slowdown there. But that certainly pick back up and I think that we’re pretty comfortable that on that absolute basis, we’re going to continue to add more customers each quarter. I think that the probably the ramp from Q3 to Q2 will be little smaller than it was from Q2 to Q1. But who knows, we hear that September is pretty good month in the industry. And so for us it’s obviously raised between our own growth and the sort of the regular industry seasonality.
Hubert Mak – Cormark Securities: Right. And in terms of the economics, are you still seeing similar economics for margin, I believe last quarter you raise it up to 180, I believe is that at similar level? 
Elliot Noss: Yeah we’re real comfortable there and we I mean I think the only comment really that I see that on the call was, we are seeing the device per count continuing to move up. That tends to be a good leading indicator for the gross margin number.
Hubert Mak – Cormark Securities: All right. And I believe you guys talked about the margin contribution in terms of actually the – I think I heard (inaudible) thousand or so correct or wrong, but is that a number and is that on the just the services, or is that the net of the devices as well. I kind of missed that part.
Michael Cooperman: Yeah no that would just be the services. The devices gets captured.
Elliot Noss: Wait Mike is correcting you.
Michael Cooperman: That is the device costs in there for GAAP purposes we disclose that as part of cost of sales, so that growth in contribution would reflect the device portion of the customer acquisition cost as well will be dampened somewhat by the device cost as well.
Hubert Mak – Cormark Securities: So for $800,000 was that an actual gross margin number or I misheard it’s actually something else?
Michael Cooperman: No I think that’s the increase in contribution.
Hubert Mak – Cormark Securities: I see the increase in contribution.
Michael Cooperman: Yes.
Hubert Mak – Cormark Securities: Okay. And then in terms of Ting has there been any change in the competitive environment from what you guys are seeing?
Michael Cooperman: Not really, no nothing that’s impacting us. You may have seen a quarter or two ago there was a pretty close copycat Ting they’re really coming from the business in a different way. So I really, I mean you’ve heard me say before, I just keep repeating it for us I just really like to try and keep us focused on AT&T and Verizon, that’s 200 million units large and I’m much less concerned about other MVNO’s I love more innovation in the MVNO side because it tends to open up – people who are still stuck with the incumbent into switching and we think we’re going to do quite well in terms of sort – of punching at or above our wait there.
Hubert Mak – Cormark Securities: Okay and moving over the domain side, I’ve just heard you talk about the first half as a bit soft and just looking at Q2 was looked to be flat in terms of the wholesale business. And I think your comment Q3 and Q4, you expect to be stronger. So what gives you the confidence that just going to be stronger, going and what type of growth rates, I believe that last quarter you’ve mentioned low single-digit? Is that sort of where your think is going to head back to?
Elliot Noss: Yeah that’s right. That’s where we think it’s going to head back to. I think that the confidence comes from being a few weeks into the corner, as well as some of the stuff that was a bit outside in the first half of last year, has now is just not presents in Q3 and Q4.
Hubert Mak – Cormark Securities: I see sort….
Elliot Noss: Some of those comps are just a lot easier. There were – we’ve talked I think in two or three quarters about some of those spikiness in this in the first half of last year with the couple of the Google programs and a few other things.
Hubert Mak – Cormark Securities: Okay and on the new gTLD application. I just some measure on clear. So in terms of the – that, you’re now at minority stakeholder in dot tech and dot stores that right?
Elliot Noss: That’s right.
Hubert Mak – Cormark Securities: Was there any?
Elliot Noss: Well as thought on line and dot group.
Hubert Mak – Cormark Securities: Right. In terms of the dot tech and dot store was there any investments that can we require from you guys?
Elliot Noss: No, subject to the way that the auction process unfolds, we partnered there with mind and machines. I believe that the public company name is CODA, top of the domain holdings. They’re in the UK. And they’re one of the three or four largest portfolio applicants and we’ve had a long relationship with them. And so we partnered up on the TECH and .STORE and GROUP.
Hubert Mak – Cormark Securities: I see. And then lastly on the Dot Media and the Dot Marketing, you guys were screw your applications and it looks like you are receiving some cash coming through in Q3. Is there any continuing relationship with the Dot Media and Dot Marketing, (inaudible) says you just have a private arrangement or is that end?
Elliot Noss: No, that ends our role as a registrar. We will have a role in those and most others that is a rules of registries, sorry. We will have a role in that end most others as a registrar of course we like those streams just as much a day before resolution, and so I’m sure you’ll see them on ourselves.
Hubert Mak – Cormark Securities: Right. Okay, all right. Thanks
Elliot Noss: Thank you
Operator: Your next question is from the line of Aaron Fuchs with Fertilemind Capital. Your line is open.
Aaron Fuchs – Fertilemind Capital: Yeah, regarding ICANN, I was just curious you mentioned the device and servicing customers as the elements of the costs that the CSR that’s the labor, that’s the stuff earning through the income statement? Can you just give a little more specific there?
Elliot Noss: No, we didn’t know what (inaudible) cost that was just the device subsidy cost, which again will subsidize some devices, we’ll sell others that are cause, so subsidy for us tend to be could be the $10 range of device.
Aaron Fuchs – Fertilemind Capital: Great. And then you mentioned that 60% of customers are now bringing their own phone, is that the same as the previous quarters or is that trending upwards?
Elliot Noss: No, no that’s clearly trending upwards. I’m sorry if I wasn’t clear on that. That’s been trending up every month, really.
Aaron Fuchs – Fertilemind Capital: Okay. And is that impart to do with your [glide] partnership or is that what you attribute that trend?
Elliot Noss: Its glide partnership helps, but the significant majority of that stuff is outside of glide relationship. I’d really believe that just (inaudible) we’re checking with customers and we’re engaged in some processes now to trying to understand this better. But as these numbers are ramping, we’re trying to understand that the best early indications are that it’s just people doing it. Seeing what great value it is and then showing their stores, which is of course the best answer we can get.
Aaron Fuchs – Fertilemind Capital: Right and then in calculating this cost per acquisition under $100…
Michael Cooperman: Yeah.
Aaron Fuchs – Fertilemind Capital: What are you allocating to cost on a referral or what is in that number?
Michael Cooperman: On a very high level that will be your pick and pack in your ship and your phone subsidies and sort of those things you would expect as well as those referrals right. Somebody might use a discount code from the podcaster or may use their referral front code. We would have all of those number in that.
Aaron Fuchs – Fertilemind Capital: Okay. And then on the YummyNames business, you mentioned that Bill Sweetman departure might have cause a little hiccup there.
Michael Cooperman: Yeah.
Aaron Fuchs – Fertilemind Capital: You had a good June is that enough for you to think that’s the hiccup stage is passed or is there something else there?
Elliot Noss: So there is two things, when we’re talking about a good June that was particularly in relation to gems, right. So as you know those are sort of very big ticket, a very low transaction numbers.
Aaron Fuchs – Fertilemind Capital: Right. I guess my point is could it just be an arbitrary random event?
Elliot Noss: Sure. So I was separating the two things. The bit of a hiccup or probably the single biggest, you just have choppiness and transition. I’ve been in a business for a long time. I’ve never seen a case where it really approximates zero. It’s very, very difficult, especially running a really transactional business unit like that. So we’re just simply getting the baton from one runner to the next that’s a separate front that. We saw the flow of gems starts to come back, enough to where we felt good about it in the second half of the quarter and continuing on.
Aaron Fuchs – Fertilemind Capital: Okay. And your relationship with Sprint and your visit to Kansas City, just curious about the terms of that contract, it’s obviously very important. You seem to be attracting customers for them. But how long is this contract for what are the renewal terms things like that, I think shareholders would like to know?
Elliot Noss: Yeah. I’m sure it’s for obvious business reasons, we don’t share that. But I’ll repeat something and as you know I think even I talked about this before. There is two things, the figure we get, the more important we are as a customer. That business what we call business protection is more important than contractual protection that we can have. No matter what Sprint is a big telco, we’re negotiating a big telco contract. Our protection is going to come on the business level. And I think the second thing is you can continue to see it, we pick our partners very behaviorally. And it continues to be the case that wholesale for Sprint is a more, and more and more important part of the business. We’re one of the best stories in wholesale over there these days. And we are at our core as you know, we’re really well, we’re an Internet company. And Sprint is now owned by an Internet company. So we felt very good about the relationship.
Aaron Fuchs – Fertilemind Capital: Okay, great. Thanks for your time.
Elliot Noss: Thanks.
Operator: The next question is from Hubert Mak with Cormark. Your line is open.
Hubert Mak – Cormark Securities: Hi I just one quick follow up here, in terms of the cash flow came in pretty strong at $3 million or so. I know obviously working comp will help out here, but in context of the share buybacks, you commented on that as well, have you guys buy any shares. So how do we think about that given that you guys bought some in Q1 and then you didn’t really in Q2, is this really just timing and I just want to get a little bit more context there?
Elliot Noss: Yeah it’s always tactical, for obvious reasons we try and be very loud with our Dutch tenders and we try and be relatively quiet with the NCIB program. So every quarter, we look at the cash, we look at the price, we look at the business needs for the next couple quarters, we might in some circumstances be looking at some possible M&A, we’re looking at sort of total range of capital allocation and then making a tactical decision. So, I really like to describe it as we strategically, deeply believe in returning capital to shareholders and then inside of that what we do in each quarter is tactical.
Hubert Mak – Cormark Securities: Okay thanks.
Michael Cooperman: Thanks.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Elliott Noss: Thank you very much for us joining us and we look forward to being with you again next quarter. Thanks operator.